Operator: Good morning. My name is Amy, and I will be your conference operator today. At this time, I would like to welcome everyone to the Hudson Global Q4 2012 earnings call. [Operator Instructions] Mr. Kirby, you may begin your conference. 
David Kirby: Thank you, Amy, and good morning, everyone. Welcome to the Hudson Global Conference Call for the Fourth Quarter of 2012. Our call this morning will be led by Chairman and Chief Executive Officer, Manolo Marquez; and Executive Vice President and Chief Financial Officer, Mary Jane Raymond.
 At this time, I will read the Safe Harbor statement. Please be advised that except for historical information, the statements made during the presentation constitute forward-looking statements under applicable securities laws. Such forward-looking statements involve certain risks and uncertainties, including statements regarding the company's strategic direction, prospects and future results. Certain factors, including factors outside of our control, may cause actual results to differ materially from those contained in the forward-looking statements, including economic and other conditions in the markets in which we operate, risks associated with competition, seasonality and the other risks discussed in our filings made with the SEC. These forward-looking statements speak only as of today. The company assumes no obligation, and expressly disclaims any obligation, to review or confirm the analysts' expectations or estimates or to update any forward-looking statements, whether as the result of new information, future events or otherwise.
 During the course of this conference call, references will be made to non-GAAP terms such as EBITDA. An EBITDA reconciliation is included in our earnings release and quarterly slides, both posted on our website, hudson.com. I encourage you to access these documents at this time. They are posted under Featured Documents and our speakers will reference these during their remarks. With that, I will turn the call over to Manolo. 
Manuel Marquez: Thank you, David, and good morning, everyone. Earlier today, we released the results for the fourth quarter and full year 2012. That year was a difficult one for many companies that operate on a global basis. In line with our outlook, our revenue declined by 17% and gross margin by 20%. Through aggressive efforts to reduce costs, we were able to deliver positive EBITDA even after accounting for restructuring costs. Early in the year, we recalibrated our expectations based upon the market conditions we were facing and established 3 key objectives for ourself: first, accelerated transformation of our company to deliver the highest quality service to our clients and candidates through deep knowledge and expertise, proprietary tools and techniques and a powerful global platform; second, restructure our operations to adopt quickly to the deteriorating economic environment; and third, manage and improve our short-term financial performance with a specific focus on preserving cash and achieving breakeven EBITDA, including the restructuring charges. Allow me to expand on each of these.  
 Let me start with the transformation of our company. We made changes to our leadership structure. Lori Hock recently joined us as CEO of the Americas. Lori's deep experience and success in running businesses, guiding transformation and leading sales on delivery organizations at her previous employer, Adecco, will be a great asset to our Americas business and our global leadership team. On the strategic side, Andrew Wayland,  joined the company as CIO, having most recently spent 6 years as global CIO of Michael Page. 
 We redeployed existing talent to improve our performance, moving some of our best leaders into new management roles in Singapore and Hong Kong in the second quarter and in the U.K. in the fourth quarter. We have begun to benefit from these moves. Our Hong Kong business generated 4% gross margin growth in the fourth quarter over the prior year, and we also made significant gross margin inroads in the U.K. with a sharply narrowed year-over-year decline in gross margin in Q4 related [ph] to Q3. These changes, along with the recent appointment of the new leader in Sweden, will help us continue our progress in these markets. 
 The strategic decision to transform our legal practice into a global eDiscovery business is allowing us to evolve from a staffing provider to a solutions company offering talent, logistics, project management and technology. We established partnerships with 3 of the leading providers of predictive coding technology. Our partnership with Recommind was announced in the third quarter and the Kroll and Lighthouse partnerships were announced just recently in January. Hudson now incorporates an arsenal of technologies that, together with our sophisticated legal teams and project management services, bring a full suite of eDiscovery solutions. 
 Finally, the strategic focus on our digital presence continue to evolve and bear fruit. Our websites were relaunched at the beginning of the year and drove a substantial increase in new business leads and ascertained revenues. We also launched a comprehensive LinkedIn program to train and embed expertise in our use of social media as a key component of our talent sourcing and business development activities. 
 The second objective I mentioned was restructuring. We implemented a significant restructuring program in the second quarter. We eliminated 9% of the company's positions, consolidated offices, removed management layers and freed our leaders to spend more time in the market. These changes were essential to offsetting the year's decline in gross margin. And notwithstanding these significant organizational changes, while operating in a difficult economic climate, employee engagement levels stayed steady, which was a significant achievement according to our survey provider, Aon Hewitt. 
 The third objective relates to our financial performance. Talent Management, which is the key contributor to our business and an increasingly important value-added service to our other business lines, generated 6% gross margin growth, in constant currency, and represented 14% of total company gross margin in 2012. Our global RPO business had another year of positive growth, gaining 7% in gross margin and also represented 14% of total company gross margin in 2012. We moved higher in the coveted Baker's Dozen rankings and will continue to make selective investments to ensure that our RPO business is positioned for long-term growth and market share gains.
 With the slight improvement in the Chinese economy during the fourth quarter of 2012, after a weaker first 9 months, our China business has strengthened as well in Q4. In the last quarter, our revenues grew by 2% on a year-over-year basis, in comparison with an average 3% decline during the first 3 quarters. Finally, in the Netherlands, our high-value contract engineering project solution business defied a weak economic environment, and grew its constant currency gross margin by 3.5% for the year. 
 Let me make it clear that we can never be satisfied with quarterly revenue and gross margin declines. We faced the reality of the economic environment and took essential steps to strengthen our foundation at the start of 2012.  Achieving breakeven EBITDA  despite a double-digit drop in revenues is no small feat, and improving our cash position by $1.4 million during 2012 while paying down $3 million in short-term debt have been a critically important result of our efforts.
 I would like to recognize every member of the Hudson team who worked very hard throughout the year to drive this organizational and operational change. Our people have great pride in the company and in themselves, and are dedicated to helping us achieve the best possible results in the years to come.
 We ended 2013 with a commitment to maximize our potential, but with a realistic outlook. There are no signs of a solid recovery -- economic recovery on the near-term horizon, which means, that we cannot expect a smooth quarterly financial progress. In addition, it's really critical and important that, in this challenging year, we support our people and maintain our implicit contract with them by providing appropriate financial incentives to our key performers. 
 We are in a multi-year transformation process that will result in a much stronger company. We have an organization that is closer to our clients than a year ago. We are leveraging our functional support services globally and have more teams working on collaborative projects across borders than ever before. We continue to work towards even more efficient delivery models to address sustained pricing pressure in some markets and sectors. We are advancing on all our key strategic initiatives. 
 As we work on strengthening our foundation, preserving liquidity and making progress on our performance improvements, we must also maintain our focus in the quarters ahead on driving our long-term success. I'd like to thank you once again for your continued confidence in us, and reinforce our commitment to establishing Hudson as a leader in talent solutions in the years to come. 
 And with that, I will turn now the presentation over to Mary Jane, who will provide further details on our fourth quarter and full year results. 
Mary Raymond: Thanks, Manolo, and thanks, all of you for joining us this morning. Moving into our regional results. In the Americas, revenue in the fourth quarter declined 18% and gross margin declined 32%. For the full year, revenue declined 12% and gross margin declined 15%. The majority of the revenue and gross margin declines are from Legal eDiscovery. 
 As we discussed throughout 2012, Legal had some large projects in 2011, without projects of a similar size commencing in 2012. Smaller declines in IT and financial solutions were largely from exiting unprofitable businesses. RPO also had a softer fourth quarter largely due to a few major clients significantly reducing their expansion plans. These reductions in IT and RPO happen to be concentrated in the permanent placement business. And that's the reason the gross margin decline of 32% in the fourth quarter is greater than the revenue decline. That's also part of the reason why the overall revenue and gross margin declines were larger in the fourth quarter than they were for the year overall in this region. Of the $7.6 million full year decline in gross margin, nearly 80% or $6 million was offset by our restructuring program as well as other cost reductions. The Americas market delivered $4.9 million in adjusted EBITDA compared to $6.4 million last year. The Americas also successfully sold a piece of the financial solutions business for a gain of $550,000 in the fourth quarter. That gain is recorded in gain on sale below adjusted EBITDA. 
 In what was not a particularly strong year for the Americas in 2012, it is interesting to see the results in the light of the region's overall progress. While the Americas revenue declined compared to 2011, it is similar to 2010. Adjusted EBITDA for 2012 is $5 million ahead of 2010 on flat revenue. So while we were not able to hold the gains of 2011, which grew 18% in revenue, we have maintained a more profitable overall structure. In Europe, in constant currency, revenue in the fourth quarter declined 11% and gross margin declined 16%. This compares to the full year revenue decline of 14% and gross margin decline of 17%. For the quarter and the year, the majority of the revenue decline is in temporary contracting in the U.K., and that was dominated by Legal eDiscovery. A large discovery project in 2011 that lasted the entire year did not repeat in 2012. We continue to build our client base in eDiscovery, but this market outside the United States is still developing. Large projects, such as the one we had last year, are not the norm by any stretch outside the U.S., and we are likely to see a more pronounced lumpiness in the early stages of the development of this space outside the U.S. At the gross margin level, permanent placement was the major contributor to the decline, equivalently driven by the U.K. and continental Europe for the year overall. But for the quarter, it was more on the continent, and in particular, was in France. The declines moderated in the U.K. in the fourth quarter but accelerated in Continental Europe. We expect to see subdued performance for Continental Europe to continue throughout 2013. Of the $26 million full year constant currency decline in the gross margin, 70% or $18 million was offset by our restructuring program as well as other cost reductions. The European market delivered $8 million in adjusted EBITDA compared to $16.5 million last year. In Asia Pacific, also in constant currency, revenue in the fourth quarter declined to 26% and gross margin declined 24%. This compares to a full year decline of 20% and gross margin decline of 21%. 
 For the quarter and the year, the majority of the revenue decline was in temporary contracting in Australia, and that decline was particularly affected by the slowdown in the mining and resources sector. However, at the gross margin level, the decline in permanent placement had the most significant impact and accounts for all of the decline in Asia proper. The trends in the fourth quarter in Asia began to improve, but in Australia, our business is facing some very fundamental cross currents. The reduction in exports is having a very large effect on mining. That drop, coupled with continued reduced activity in the banking sector and in professional-level management roles in general, 2 areas where we have traditionally been strong, have combined to hurt the top line. Of the $30 million full year constant currency decline in the gross margin, over 70% or $22 million was offset by our restructuring program as well here from other related cost reductions. The Asia-Pacific market delivered $13 million in adjusted EBITDA compared to $21 million in 2011, resulting in an adjusted EBITDA margin of $4.5 million for 2012. 
 The totality of our cost reductions discussed above reduced our headcount by 19%. Of this, our restructuring plan accounted for about half of that or 9% of our headcount, and we expect that 9% reduction to be permanent. The charge in 2012 was $7.8 million. Our actions focused on 3 areas: closing some businesses that were underperforming; implementing initial actions in certain more challenging labor markets; and creating efficiencies through shared services. 
 In anticipation of a few other questions, I'll point out a few other things. Our fourth quarter stock comp was $200,000 compared with $1 million a year ago. This was driven by the 2012 results, which pending comp committee approval govern the award of the performance grants. These results were below target compared to last year. Our 2000 total stock comp -- our stock comp for 2012, total, was $2.6 million. Our tax rate, as a percentage of pretax income, was 24% for the year. This was helped by a net $3 million credit, the result of the settlement of 2 legacy issues offset by reserving the tax assets in one of our smaller countries. The underlying tax rate, excluding these credits, continues to be affected by the loss positions in countries such as France. 
 Our DSO was 47 days, improving by 2 days from the last quarter and 5 days from the first quarter of 2012. Capital expenditures were $900,000 in the quarter as we expected. For the year, we've incurred $8.7 million of CapEx, which includes $4.7 million in cash and $4 million from landlord funded improvements in the office relocation in Sydney. We ended the quarter with $39 million in cash and $41 million in available borrowings, totaling $80 million in liquidity. We generated $4.3 million in operating cash flow during the fourth quarter with no borrowings on our revolvers worldwide.  For the year, our normalized cash flow from operations is $9 million. Turning to our guidance. 
 We expect the fourth quarter -- we expect the first quarter revenue to be between $164 million and $172 million, a decline of 14% to 18% at prevailing exchange rates. We are continuing to see reduced levels across our regions in the company. We expect adjusted EBITDA will range from a negative $2 million to a negative $5 million. We expect to incur up to $4 million of restructuring charges to continue the 2012 actions begun last year. We further expect these actions to be taken in the first half of the year. With that, Manolo and I would be happy to take your questions. 
Operator: [Operator Instructions] Your first question comes from the line of Jeff Silber from BMO Capital Markets. 
Jeffrey Silber: Mary Jane, if we can just get a little bit more color on your guidance by segment, what you're expecting. 
Mary Raymond: Sure. With respect to the first quarter, basically, you will -- you should expect regional trends similarly consistent with Q4. So on the revenue line, I would expect to see APAC having declines that are a bit outside the guided range. The Americas close in the guided range, and Europe to be a little bit better than the guided range. Adjusted EBITDA, a little bit depends on exactly how the top line lands, but we do expect to see all the regions, as the guidance would imply, below prior year. 
Jeffrey Silber: Great. Now in terms of the restructuring, is that all done now? The SG&A levels that you're at now, is that the run rate we should expect? Obviously, there's some variability there, but from a fixed perspective? 
Mary Raymond: So first of all, as we just said, we'll finish some actions this year that will incur about $4 million in restructuring, that is effectively completing some of the stuff we took. But I think if you were then to take the SG&A run rate, that is probably a pretty good approximation. Just bearing in mind that we may see a little bit of return of compensation on the sales line, because, as we said, the composite total headcount is down about 18% for the whole company and the restructuring is 9% of that. So I do think you should expect to see some changes a little bit on the sales side, if we begin to see revenue improve, as we've talked all along. But generally, I think, in the support staff for example, and the non-SG&A, that we can continue that run rate into '13. 
Jeffrey Silber: And I know you're not giving guidance beyond the first quarter, but let's assume that, that the struggles that we've seen in the global economy stayed for the rest of the year. Do you think based on the restructuring that you've done, would you be able to generate positive EBITDA for the year, based on the current level? 
Mary Raymond: Well, I think, as you've said, there is an enormous amount of opacity as we look out into the '13 year. What I can tell you is that it is a very important goal for us internally. As we've said since 2009, not to make losses. So we are very focused on being sure that the way we deploy our action plans, as we right start off this first quarter, put us on a path that will allow us to deliver a respectable 2013. If the world goes off a cliff farther than where we are, I mean, obviously, all bets are off, but that's true in life. But generally speaking, if we were to expect conditions to still be pretty tough, we are still looking to work very hard not to make losses, something that we've been pretty committed to try and do for a while. 
Unknown Analyst: Okay, great. If I could just sneak one more in, I'm sorry. Just what tax rate should we be using for modeling purposes? 
Mary Raymond: Yes, sure. I think, keeping in mind we had a credit in the tax provision this year, I think you should be using the number that's probably between 35 and 38 to be on the safe side, just until we have a little bit clearer view on exactly how the revenue is going to be earned around the world. 
Operator: [Operator Instructions] Your next question comes from the line of Mark Marcon with R.W. Baird. 
Mark Marcon: I was wondering if you could just give a little bit more clarity with regards to the EBITDA, by geography, for the first quarter. Because the total, obviously is different than what we saw during the fourth quarter. And so I'm not -- I'm not exactly sure where -- how the losses should fall? 
Mary Raymond: With respect to the first quarter, by geography. Well, first of all, I think -- let's start with corporate. I think that will probably roughly the same as the fourth quarter. In the Americas, the Americas obviously had a positive Q4. I think what we would expect is that, obviously, they will have a little bit lesser strong Q1, largely because, as you know, we have the return of the Suda en Suda ph]. So that alone, if we just take the Q4 EBITDA and compare that to the Q1 EBITDA, probably is accounting for a good $2 million, if not a little more than that of the difference. So that's obviously one change we should think about. I think, if we think with respect to the U.K., I think the U.K.'s probably on about par of where it was. I think Continental Europe is the one that's also going to see some drops against Q4. Q1, I think, generally speaking, is a slightly shorter quarter, if you think the Christmas period going into the entire first week of January. And frankly, I think we had a relatively slow start in Q4 -- in Q1, I mean, sorry, in January. With respect to what I think is in France, in particular, still an enormous amount of lack of certainty with respect to the labor laws, it's causing clients not to hire and candidates not to want to move. I think then, with respect to Asia Pac, Asia Pac probably will be also less than Q4 with respect in Q1. Again, here as well, Q1 is the shortest quarter for Asia Pac. So I don't know that I think that's necessarily outside what Asia Pac has typically delivered Q4 to Q1. But that's probably where you would see that. So that might give you  a little bit of a picture about kind of relatively speaking how might we see it with some kind of pretty normal seasonal factors entering into it, certainly in Australia proper, as well as in the U.S. 
Mark Marcon: That's very helpful. And then you still have $4 million to go with regards to the restructuring. So shouldn't the SG&A come down a little bit, relative to the implied SG&A that we would see for all of Q1? 
Mary Raymond: Well, with respect to the addition in the restructuring cost, first of all, I think, one thing as I just said to Jeff, I think we need to keep in mind is that, should be begin to see the revenue come back, we are down in headcount, other restructuring -- other cost reduction actions we took, responsive to the lower revenue that is causing us to have delivered cost reductions that are greater than we really expected from just the restructuring. So that, as well as really thinking through what should the compensation be for the year, is one factor that I think we really need to kind of keep into consideration. I think, the second thing is, it really depends where the revenue comes. But having said that, the company is committed to being sure that the actions it took under the restructuring program hold, and while we may be able to see some further reduction, and you can be sure that's always on our mind, as we just discussed, it's a fairly opaque year. I'm not entirely sure all the things we're going to have to deal with. But should we see, for example, not exactly continued dire conditions out of the first quarter, we would certainly strive to make reductions where we could, balancing that with being sure we also have staff to tackle opportunities on the front line should they arise. 
Mark Marcon: ,
 Okay. So just to make sure I clearly -- I'm tracking. It sounds like basically with the SG&A level that's currently being implied in the first quarter shouldn't be meaningfully reduced on a seasonally adjusted basis going forward despite the additional restructuring that's being taken. Is that, is that what you're saying? 
Mary Raymond: Right. I mean, we have a Q1 expense run rate that is relatively -- it's a little bit higher than Q4. Obviously, we had a some -- we had a little bit of bonus accrual release in the fourth quarter, that's probably depressing that a little bit. I think if you took Q4 and extrapolated that out, I don't know that it will be hugely less than that as you're saying. I mean, that's going to be a run rate that's in the neighborhood of about $270 million to $280 million, and we're exiting the year at $277 million. 
Mark Marcon: Okay. That's -- and then can you talk a bit more about the steps that are being taken on the eDiscovery business to further globalize it? And what sort of investments would need to be made? And then when the expected pay off should occur? 
Mary Raymond: Sure. 
Manuel Marquez: The -- there are 2 different steps that we are taking on the eDiscovery business. I mean, there is a transformation of the business moving from a legal staffing business to an eDiscovery solution business. And what we are doing there, as I have mentioned, is striking partnership with technology providers so we can invest technology together with talent, logistics and project management, to offer those solutions. We are -- we have been starting that game last year, the parties we have signed were in Q3. One of those in Q3 last year with Recommind, and just recently in January with Kroll and Lighthouse. So it's starting to catch up. We are building the traction. When you are at the starting of the game, it's difficult to say how fast the traction will get there. Usually my experience, when you are transforming a business, is that the short-term results are usually lower than you initially expect. But the medium and long-term results are usually higher because once you get the traction and you can do reference selling, it catches up really, really fast. So I cannot give you a number. I tell you that we are very optimistic that the fact that we are the only staffing recruiting firm that have this policy with these 3 leading providers today of technology, and that 3 of them are considered absolutely top of the ranks in their matters of expertise, makes us feel very confident. In terms of geographical expansion, as we have mentioned before, we also want to do it step-by-step. I think that when you are trying to move the business international, if you are spread too thin, it is very difficult to build that traction. So we just chose the U.K. initially, to expand that in the U.K. When you compare 2012 with 2011, it really doesn't see the progress because in 2011, we had a very large project that's skewing the results. But in Q4, we grew eDiscovery in the U.K. already by 6%. So again, it's a sign that we are ramping that up. 
Mark Marcon: Great. And then with regards to the continent, in terms of what you're seeing in France, how -- can you remind us how big France is as a percentage of your European revenue? 
Mary Raymond: Sure. The French business is about EUR 13 million, called that about $17 million. That is a function of the whole of Europe is in round numbers, about 5%. 
Mark Marcon: Okay. And do you have flexibility to -- I mean, I think what's going on in France is well publicized. But do you have the flexibility to adjust the cost structure there to reflect the reduced demand? 
Mary Raymond: Well, as you probably know, flexibility in France is relative. But I would say that part of what causes the 2012 charge actions to be continued into the 2013 year is largely for the way in which things must be done in countries like France in the comp [ph]. 
Mark Marcon: Understood. 
Mary Raymond: So I can tell you that while -- flexibility is relative, it's not so easy. There's no question that we are very focused on trying to have a healthy French business. And being as nimble in that market as possible, if for no other reason than -- the industries that have historically been strong in France may not, in the future, continue to be the ones where in the hiring is happening. Not the least of which might be in the FMCG space, the fast-moving consumer goods. So -- actually, let me also just adjust one thing, While France is about 5% of our revenue, it's about 10% of the gross margin, and France as you may remember, is a per market for us. 
Mark Marcon: Yes. 
Mary Raymond: So I would say, we are very, very active in looking in all of our European markets at our flexibility both to grow the business, as well as to manage the business, in concert with what the market conditions are. And we have a very good team that has been focused on that, it's but just as easy to do as in other markets such as the United States. 
Mark Marcon: Can you talk a little bit about Belgium, what are you seeing there? 
Mary Raymond: Well, the Belgian business, as you may remember, is basically made up of 2 different parts: one -- well, not 2 parts, they're sort of complementary. One is our permanent placement business and the other one is our talent management business. Certainly, as the conditions in Europe has been tenuous, I mean, really, with respect to, what are the labor laws, what's                                                                                                                                                                                                                                                                                                                                                                                                                                                                                the funding what's the history of euro. We have seen companies, generally speaking, looking at how they achieve their initiatives with the staff they have. They had been fairly reluctant to hire and for the candidates' part, candidates have been reluctant to move. They were not always necessarily guaranteed of getting a permanent contract, and given changes in labor laws, which could have affected all of the EU, their situations could be relatively uncertain. Having said that, Belgium remains our strongest business in Europe. They did have declines last year in the neighborhood of about 5-ish percent on the revenue line. They're not having the easiest time of it right now, but it's a very strong business and they have worked pretty hard to stay very close to their clients and withstand some of the pressures that they have been under. They're also I think pretty innovative in looking at what should be the services going forward and they tend to lead in Europe in thinking about, what are the services of the future. But let me -- let Manolo comment on that as well. 
Manuel Marquez: Yes, I mean, I think that, unfortunately, in this economic condition, we have to relate to qualitative comments rather than be too optimistic about the quantitative ones. In 2012, our Belgium business won the award of the Best Recruiting and Talent company of the Belgium market. The best. So I mean, we are extremely proud of how our Belgium business. We hold the market-leading position in that country. The reputation that we have there and the credential that we have there, and the clients that we have there is second to none. Unfortunately, like in all the other countries in Continental Europe, clients are refraining from hiring. And our situation in the market, what calls is for us to make sure that we maintain our top position. That we protect our market share, and more than anything else, that we protect our great people, our talent because those are the ones that make up the company, so that they feel that we're continuing investing and supporting them to be prepared to take the upturn when the economy comes back, that's all we can say. The conditions remain difficulty, I mean, you read the papers, you see that Europe is still having a struggle in this first quarter. The DMI index says, I mean, all the indices of the market are not creating a strong economic sentiment on our plans. And the money is not there. But whatever market share -- wherever market is, we are fighting for that market share like hell. And in Belgium, we have one of our more resilient businesses in our network. 
Mark Marcon: I appreciate that. And then can you talk a little bit about your CapEx plans for the coming year? 
Mary Raymond: Sure. In the 2013 year, our CapEx will be probably in the range of about $6 million to $8 million, and we would expect that to be largely concentrated, actually, in the IT area. We've talked throughout the 12-year at some of the initiatives we have on the greater global connectivity of the business, both in terms of the front office, but importantly as well, in the back office, in particular with shared services. We have begun the work and begun it actually in 2012, to move to having our, for example, major financial operations on the same platform. That CapEx spending though, is coming at a time when the, for example in the financial platform, they were due for an upgrade anyway. So what we are doing is simply gravitating to a common platform in using the normal upgrade cycle of -- up what we would expect and so that's largely where I think we will have the CapEx go. The front office component of that, however, is just as we have the financial information connect around the world, it's really connecting our front office operations as well. That will allow both greater sharing of leads and clients, and the organization, in doing that more manually during the 2011 and '12 year, has been very, very excited about that. So we think that, that will help us in reaping the benefits of the skills that we have around the world. So we consider this monies that will be very well spent, and that's the main thrust, particularly here in 2013. 
Operator: [Operator Instructions] There are no further questions at this time. We have a follow-up from Mark Marcon with R.W. Baird. 
Mark Marcon: And I was jumping just back into the queue. Can you talk a bit more about Asia Pac, I mean, it sounds like we're making good progress in Hong Kong. But Australia, can you remind us about the mix of business over there in terms of how much is connected to infrastructure, mining, versus more professional services? And what are the distinctions that you're seeing between those 2 verticals? 
Mary Raymond: Sure. Well, first of all, let's do a couple of things at the aggregate level. If you take the total of the Asia Pac gross margin, which is about, in round numbers, $120 million, first of all, about $75 million of that is in Australia. So that gives you little bit of a sense, roughly about $10 million is in New Zealand and the balance is in Asia proper, across Singapore, Hong Kong and China. So with respect to then your question about kind of where does it fall out, sector-wise, historically, our sectors -- the mining and resources has typically been somewhere around 4% of their -- 4% almost in the total company. Historically, I think -- let me start again -- we're likely seeing, historically, the banking sector -- 20% of the market's probably been in the banking. About another 20-ish, 15% or 20% has probably been in public sector. And in the just general professional roles, clients in -- whether that be just the industry in general, companies that make things, the health care market, et cetera, that largely before was -- the majority up to about 10%, we probably had 10% in the natural resources industries because they were large in the Queensland market, the Western Australia market and the South Australia market. Last year, however, that was starting to be closer to 20%. And some of that was because in the '11 and '12 year, we had clients that were building out their corporate infrastructure, and in those sort of roles, their head of marketing, their marketing staff, their finance staff, et cetera, those are roles we are very good in. And tends to be transversal across industries. We had such a concentration of that, and then began to get into more of the engineering roles as we talked about last year. As those roles begin to be filled, they don't necessarily turn over every year, and that is part of what has contributed to us seeing the banking -- the, sorry, sorry, the mining and resources sector decline from the percentage that it was of Australia last year. But does that give you a little bit clarity on sort of where we are today? 
Mark Marcon: It does. And then can you talk a bit about what's happening in China proper? 
Mary Raymond: Right. So our business in China is sort of, of 2 types. The business in Shanghai is very much like our professional businesses around the world, very much focused on professional level roles. We tend to fill out the subsea suite of all of our companies we work for. We have also seen, since 2010, an increase in RPO clients, as companies accelerate their growth there and want to do it at a faster rate than one role at a time. That generally was at a much slower level in the 2012 particularly in the second and third quarter. Though the fourth quarter, as Manolo described, began to share some resilience, particularly in Shanghai. Our business, however, that we acquired back in 2007 has a particular IT focus. And that IT, in general, probably is about 30% of the total China business, with the IT practice being largely concentrated in what we've referred to as Tony Keith acquisition, a business that is now very well integrated into our company. The basic situation that has affected that is the reduction in hiring of multinational clients. That is something that we've seen through the back end of 2011 and frankly, for the better part of 2012. There again, I think, as companies are balancing their hiring around China, it's just not been at that almost frenzied rate we've seen in the 2010 year and the beginning of 2011. So those 2 factors, not so much multinational hiring happening, an increase of hiring in the more domestic clients and then somewhat less hiring at the more professional sort of subsea suite role has caused the growth rates in China to moderate through the 2012 year. 
Mark Marcon: Do you think those growth rates are holding steady now? Or -- part of the reason for the question is... 
Mary Raymond: Yes, of course. 
Mark Marcon: All sorts of cross currents in China. 
Manuel Marquez: I mean and I have been visiting China 3 times last year. And every time I go there, I have client visits to kind of -- pulse directly with them what is the sentiment of the economy and the hiring. And at the beginning of the year, I also saw a lot of cautiousness in hiring in China. And you saw the big drop from China growth, on GDP growth, from 2011 to 2012. There was a light improvement in Q4, and that kind of starts to create a better level of optimism. But I don't want to -- I mean, I like to think that China is rebounding, but I think that's too much of a strong word to quote now. I mean, the GDP I think went from 7.4% to 7.9%, but the levels in 2011 were 8.5%, 9%. So it's still a big gap, and they are waiting for the new government in China in March to announce the changes in the government. As you know, they are coming back from the Chinese New Year at this very moment, so it's early to tell. I'm optimistic about China, I think that the growth is going to be restored. I think the country needs to continue ramping up on their investments. And I think they know that they have to fuel domestic demand and we will see change in the mix going from multinational clients to national clients. We will be adopting on those trends, too. I'm very optimistic on that. The problem is when are we going to see a much steeper ramp up? Q1, Q2? The good thing is that we already saw a change in Q4. As I mentioned on my script earlier on, we had a 2% increase versus a 3% decline in the last 3 quarters, that's a 5 percentage point difference. So we're already seeing that. I cannot tell you how much above that we'll improve. 
Operator: [Operator Instructions] We have no further questions at this time. 
David Kirby: Thank you, operator, and thank you all for joining the Hudson Global fourth quarter conference call. Today's call has been recorded and will be available later on the Investor section of our website, hudson.com. Thank you, and have a great day. 
Operator: This concludes this conference call. You may now disconnect.